Hernan Levett: Thank you, operator, and thanks to everybody on the call, for joining. I am Hernan Levett, Chief Financial Officer of Auris Medical. With me today on today’s call is Thomas Meyer, Auris Medical's Chairman and Chief Executive Officer. Earlier today, Auris Medical issued a news release with a business and strategy update and the first quarter 2018 financial results. The release is available on the company’s website, aurismedical.com and filed with the SEC. During today's call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include statements that address future operating, financial, or business performance for our strategies or expectations. Forward-looking statements are based on management's current expectations and beliefs, and involve significant risk and uncertainties that could cause actual results, developments, and business decisions to differ materially from those contemplated by these statements. These risks and uncertainties include, but are not limited to, the timing and conduct of our clinical trials, the clinical utility of our product candidates, the timing or likelihood of regulatory filing and approvals, our intellectual property position, and our financial position, as well as those described in the risk factors section in our annual report on Form 20-F, and future filings with the Securities and Exchange Commission. In addition, any forward-looking statements represent our views only as of today, and should not be relied upon as representing our views as of any subsequent date. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views change. With that, I will hand the call over to Thomas.
Thomas Meyer: Thank you, Hernan. Good morning to our listeners in the U.S. and good afternoon to our listeners in Europe. Welcome to our Q1 earnings and business and strategy update call. Earlier this morning, we announced an important strategic decision to expand was our intranasal betahistine development program beyond the treatment of vertigo into mental health supportive care indications. Under project code AM-201, we will develop intranasal betahistine also for the treatment of histaminergic receptor mediated weight gain and drowsiness also know as somnolence, which are major side effects of many antipsychotic drugs. We believe that the AM-201 program will be highly synergistic to the AM-125 program and represents a natural extension into an attractive therapeutic area. Betahistine as a reminder is a structural analog of histamine and of all known neurotransmitter modulator of the histaminergic system. The drug acts as an agonist at the H1 histamine receptor and as an antagonist at the H3 receptor. Betahistine increases inner ear and cerebral blood flow, histamine turnover and histamine release in the brain, enhances the release of acetylcholine, dopamine and norepinephrine in the brain and results in general brain arousal. Betahistine is marketed today in about 115 countries was the U.S. being in multiple exception. It is the number one anti-vertigo drug acting both on the peripheral and the central vestibular system, and having a very good safety profile. Unlike many other anti-vertigo drugs, betahistine is non-sedating. Betahistine as is it currently marketed has one major drawback following oral intake, the drug gets rapidly and almost completely metabolized into 2-pyridylacetic acid and metabolite with no known pharmacological activity. This results in a very poor bioavailability of oral betahistine and clearly limits the drug therapeutic utility. We believe that intranasal administration of betahistine offers a convenient and effective way to increase its bioavailability. We announced earlier this year data from a single dose pharmacokinetic study in beagle dogs. Some of the results are shown on the left side of this slide. Betahistine concentrations in blood plasma following intranasal administration exceeded those that were observed after oral administration by far. Relative bioavailability was 5 to 35 times in favor of intranasal betahistine. This study confirms and complements with its results dose from an earlier single and repeated dose study in a smaller number of beagle dogs. A superior bioavailability was intranasal betahistine was also observed in humans. In an independent study with healthy volunteers, oral administration of 48 milligram the total approved daily dose resulted in a dose adjusted plasma exposure that was substantially lower than the levels observed in a study with intranasal administration of betahistine up to 40 milligrams. So the relative bioavailability was intranasal administration in humans was twenty to forty times higher than was oral administration. I will get back to this later. Betahistine is being used for treating vertigo, so why could it be of interest to use it also in mental health supportive care. The rationale for this is quite straightforward. Obesity and related metabolic disorders are major issues in the treatment of mental illnesses like schizophrenia or bipolar disorder arising largely as adverse side effects from the use of antipsychotic drugs. Increased rates of diabetes, dyslipidemia, and cardiovascular disease observed in this patient population are known complications of antipsychotic treatment. In addition many of these antipsychotic drugs also results in drowsiness, somnolence, which can be very pleasant for patients and the negative factor for long-term treatment and functional recovery, so these people are heavily sedated sometimes. It is well known that histamine plays a key role in the brain's regulation of food intake and energy expenditure and it is also well known that centrally acting drugs with high affinities for H1 histamine receptors can induce weight gain and that some antipsychotic drugs are really potent H1 histamine receptor antagonist. Blocking this activity would be an obvious target in order to address these major side effects of antipsychotic drugs. Now remember that betahistine acts as an H1 histamine receptor agonist. Let me expand a bit on the importance of these side effects. A meta-analysis by Leucht and colleagues of the comparative efficacy and tolerability of 15 antipsychotic drugs in schizophrenia, which was published in Lancet, showed that olanzapine and clozapine among or among the most effective drugs. You can see on the left side of the slide, the standardized mean difference between active drug and placebo was clozapine on top and olanzapine number three. Both drugs belong to the class of so-called a typical second generation antipsychotics. In spite of good efficacy, certain treatment guidelines no longer recommend them for first-line use due to the risk of significant weight gain and other metabolic side effects. As you can see on the right side of the slide, clozapine and olanzapine scored among the three worst in the meta-analysis in terms of weight gain. Both drugs have a high affinity for the H1 histamine receptor. Olanzapine and clozapine are certainly among the worst offenders when it comes to weight gain. However as you may have noted on the previous slides, the 13 other antipsychotic drugs reviewed also showed more weight gain than placebo. It is not surprising them that in 2015 and a review paper by Manu and colleagues, it was stated “all antipsychotics are associated with multiple weight gain and antipsychotic naïve in first episode patients.” It is important to note that the weight gain in many cases is not just the small side effects. In the case of olanzapine has been shown that 64% of schizophrenia and bipolar disorder patients experienced a clinically relevant weight gain that is 7% or more after 48 or more weeks of treatment, 32 patients have 15% or more weight gain and 12% experienced an increase of 25% of their body weight or more. In patients with the first psychotic episode another study showed a clinically relevant weight gain over three years of treatment with three other antipsychotic drugs for 23% to 45% of them. There have been many more studies published on the topic painting all a similar picture. The potential ability of betahistine to treat antipsychotic induced weight gain has been evaluated both preclinically and clinically. An Australian research group published several papers over the years demonstrating that betahistine co-administered with olanzapine reduced weight gain in rat models by counteracting increased expression of the H1 histamine receptor, pAMPK, neuropeptide Y and decreased expression of neuropeptide pro-opiomelanocortin. Clinically, betahistine was tested together with olanzapine in a Phase II study by a company called AudioCure with the approved oral dose of 48 milligram per day for 16 weeks and also in a Phase I pharmacokinetic pharmacodynamic study was the three times higher dose for three weeks. These studies showed a reduction in weight gain and somnolence and importantly no indications for interference of betahistine was the antipsychotic effect of olanzapine. These studies were obviously not large, yet they already showed promising signals in spite of the poor bioavailability of the oral betahistine that was used. Based on these findings, we are very confident that intranasal betahistine, thanks to its markedly higher bioavailability will show even greater therapeutic benefits. As you may remember, I showed you on an earlier slide how plasma exposure following intranasal delivery compared against plasma exposure following oral betahistine. The level was 20 to 40 times higher. The plasma data which I showed for the oral administration are from this aforementioned pharmacokinetic pharmacodynamic Phase I study, which already showed some effect on weight gain and somnolence. We considered this very promising. Let me turn now to the size of the market opportunity. According to data monitor, the number of patients in the U.S., EU top five in Japan is about two 2.2 million diagnosed schizophrenia patients, 3.6 million diagnosed bipolar disorder patients and there are about 550,000 patients treated with olanzapine. So these numbers are quite significant. With AM-201, our first development priority will be in the U.S. Fortunately, we’ll be able to draw on the work previously done by some other parties in particular AudioCure. In this context, we have acquired two U.S. patents related to the use of betahistine for treating weight gain and use by olanzapine, which expands our intellectual property estate around the intranasal betahistine. We look forward to providing further details on our AM-201 program through a KOL call, which we are planning to host in early June 2018. While we have been working on the launch of the AM-201 program, we have also been advancing our AM-125 in the treatment of the vertigo. Here we completed the dose escalation with oral betahistine up to 384 milligram in the second Phase I clinical trial in healthy volunteers. Data from this first part of the study are expected to provide further support for breaching to existing safety data with oral betahistine. In the second part of the study, intranasal betahistine will be administered to determine the maximum tolerated dose with single and repeated dosing and generate additional data on bioavailability in humans. We expect the results from the second Phase 1 trial to become available in the third quarter of 2018. In addition, we have initiated the preparations for the planned Phase II clinical trial in vertigo. We are planning to start that randomized controlled study in patients suffering from acute surgery-induced vertigo towards the end of 2018. The preparations will include, among others, discussions with health authorities for validation of the study design, additional toxicology testing, as well as further pharmaceutical development work. Following the presentation of the intranasal betahistine programs, I will now turn to a strategy update on our late stage programs, AM-111 for the treatment of acute inner ear hearing loss and AM-101 for the treatment of acute inner ear tinnitus. As we are focusing on advancing our AM-125 and 201 programs, we plan to move forward towards AM-111 and 101 through strategic partnering and with non-diluted funding. In line with this strategy, we are reducing the level of operating expenses. We believe that this will result in a further marked reduction of the cash burn rate. Ours CFO, Hernan Levett, will talk about this shortly. As AM-111, we recently report two positive developments where we’re very pleased to see the publication of a peer-reviewed article entitled preclinical and clinical otoprotective applications of cell penetrating peptide D-JNKI in hearing research, which is one of the leading journals in the otorhinolaryngology field. Importantly, we received positive scientific advice protocol assistance from the European Medicines Agency, EMA, related to the development plan and regulatory pathway for AM-111. We have requested a scientific advice following the results of the HEALOS Phase III trial, which had shown a clinically meaningful and normally significant improvement in hearing and some other measures in the subpopulation of patients with profound acute hearing loss. We were very pleased that the agency indorsed the proposed design for a single pivotal trial with AM-111 0.4 milligram mL in patients suffering from acute profound hearing loss, the choice of efficacy and safety end point as well as the statistical methodology. In addition, the EMA provided important guidance on the regulatory path forward and the maintenance of AM-111’s orphan drug designation. In the next step, we plan to request a Type C meeting with the FDA to discuss the development and regulatory path forward there as well. As for AM-101, that is Keyzilen, we conducted index analysis of the full set of outcomes from the TACTT3 trials. As you may remember, in March we have reported that this study did not meet its primary efficacy endpoint of a statistically significant improvement in the Tinnitus Functional Index score in the active treated group compared to placebo either in the overall population or in the otitis media subpopulation. Further investigation of the trial's outcomes confirmed these preliminary results. We believe that the lack of separation between the active and placebo-treated groups may be due to certain elements of the study design and conduct. There is a strong unmet medical need in tinnitus. There is no doubt about it. And in fact we keep receiving many patient enquiries about accessing AM-101. People would like to try it. In view of the positive data from non-clinical studies, positive data from two Phase 2 trials and positive data from two open label AMPACT trials, we’re currently assessing measures to address the issues arising in both TACTT trials and how best to advance the program. With this I will now turn the call over to Hernan for the financial update.
Hernan Levett: Thank you, Thomas. Before reviewing our financial results for the first quarter of 2018, I will like to note that the financial statements are presented in Swiss francs. The Company’s net loss decreased from CHF8.4 million or CHF2.15 per share in the first quarter of 2017 to CHF1.7 million or CHF0.30 per share in the first quarter of 2018. Our research and development expenses decreased from CHF6 million in the first quarter of 2017, to CHF2.9 million in the first quarter of 2018. The reduction in research and development expenses was mainly driven by the completion of our several Keyzilen and AM-111 trials, lower employee-related expenses and lower expenses related to drug manufacturing and regulatory affair activities. General and administrative expenses were CHF1.4 million in the first quarter of 2018, which was in line with the first quarter of 2017, which was also CHF1.4 million. We expect that our operating expenses in 2018 continue to be in line with our previous guidance of CHF10 million to CHF12 million. And that the existing cash and cash equivalents will enable the funding of operations into the fourth quarter of 2018. During the first quarter of 2018 we had an important corporate development. The company regained compliance with the minimum bid price requirement for continued listing on the Nasdaq Capital Markets, following a reverse share split at a ratio of 10-for-1 of the Company's shares, effective March 13, 2018. At the end of the first quarter of 2018 the Company had a total of 6,117,388 common shares outstanding. On May 2, 2018, the Company entered into a new equity line for up to $10 million with Lincoln Park Capital. The previous equity line with Lincoln Park Capital had been terminated upon the Company's merger with one of its subsidiaries in order to affect the reverse share split. On April 5, 2018 the company entered into an agreement with Hercules, where the terms of the Company’s loan and security agreement were amended to eliminate the $5 million liquidity covenant in exchange for repayment of $5 million principal amount outstanding under the loan and security agreement. The repayment will reduce the Company’s annual interest expense by more than $0.5 million. In sum, our operating expenses have been significantly reduced and will continue to decline sequentially during 2018, following the completion of our Phase III trials for Keyzilen and AM-11, and the adjustment of our internal expenses. The renewal of the equity line with Lincoln Park Capital will provide further financing flexibility. And the reduction of our debt will reduce our interest expense. We believe these measures will allow the company to move forward its programs through the next phases of development. With that I will like to now turn the call back to Thomas, who will conclude our presentation and open the line for questions.
Thomas Meyer: Thank you, Hernan. So we have several important milestones lying ahead of us. In the third quarter of this year we will announce the results from the second Phase I trial with AM-125. For AM-201 we plan to request a pre-IND meeting with AM-201. And following the EMA scientific advice on AM-111, we expect to obtain feedback also from the FDA on the development and regulatory path forwards. Towards year end we are planning to initiate the Phase II trial with AM-125 in acute vertigo. And during the third and fourth quarter we expect to submit our IND for AM-201. And if all goes well to initiate a pharmacokinetic-pharmacodynamic study on the compound. We are very excited to launch the development of intranasal betahistine for mental health supportive care indications. We believe that this is a great extension to our vertigo program and that we can make a real difference for patients treated with antipsychotic drugs. With intranasal delivery, we can significantly improve betahistine’s bio availability which we expect to translate into enhanced treatment outcomes in both indications. We plan to bring this new treatment option to patients in all key markets including in the U.S. where the compound currently is not approved. Last but not least, we look forward to advancing our late stage assets through strategic partnering. With that, I would now like to turn the call back to the operator, who will open the line for questions.
Operator: Thank you, gentlemen. [Operator Instructions] And our first question today comes from Juan Serrate from Edison. Please go ahead.
Juan Serrate: Hello good afternoon and thanks for taking my question. It’s just a quick question on the readout of the AM-125 product in Q3. So I want to know, I mean, if you can explain a bit what we should be looking out for in this trial? What should investors grow their attention to?
Thomas Meyer: Yes, thank you very much. Well this Phase I trial will provide several results. So first of all it will allow to fine-tune the calculations on the relative bioavailability, oral, intranasal. So this will be within the same study. Previously we compared the data from two separate studies. We can – in addition, also analyze the PK samples here for additional metabolites which were never characterized before. So the PK profile will be more complete. In addition, we expect to push higher with the doses because in the previous study we feel that the maximum tolerated dose probably was not already achieved. And last but not least, we will have also data from multiple dosing over several days. So this program here evidently it derives PK properties of betahistine, therefore it is very important that we have here some additional data for informing us also what doses to take into Phase II, what is the most appropriate choice.
Juan Serrate: Okay, very good. Thank you very much.
Thomas Meyer: You're welcome.
Operator: [Operator Instructions] And our next question today comes from Michael Higgins from Ladenburg Thalmann. Please go ahead.
Michael Higgins: Thanks, operator. Congratulations guys. We took a look at the clinical publications out there in olanzapine and betahistine [indiscernible] just since the TR and there’s quite a bit out there’s quite a bit out. It certainly hasn't been in the bottom of that. Question for you is how long is acquired IP that you've got on AM-201?
Thomas Meyer: Okay, so the key IP here Michael that is clearly what we filed last year. So this is about the intranasal delivery of betahistine to treat a variety of disorders, vertigo is among them, antipsychotic-induced weight gain is another one and there are a couple of others, with a certain formulation in order to achieve certain levels of plasma concentrations. And so this is an IP that will carry relatively far. Well we expect that during development we will expand on that. Now what we actually got here in addition there are two patents that go until 2024. They were generated by AudioCure. I mean this is an addition around this specifically here for this antipsychotic-induced induced weight gain. We have, by the way, also managed here to get access to certain data that AudioCure which was dissolved voluntarily a few years ago that were generated as part of their development program. So this is obviously very helpful here in preparing us for regulatory interactions, they had an IND open at the time and also here for designing the next trials.
Michael Higgins: Thank you. That’s helpful. Yes I assume the patents you have on AM-125 will hold up here as well. Regarding AM-111, congratulations on the outcome of the European Regulatory agencies. If you can give us some sense for what the trial may look like, number of patients there are any change in the inclusion criteria just time since you're in loss and is this a placebo-controlled trial? Thanks.
Thomas Meyer: Yes, so this trial would be pretty close to the HEALOS trial. So this would be placebo-controlled, one dose so the 0.4 that’s the one dose that in Phase II and in the HEALOS trial performed best. And there will be a reserved therapy option again as in the previous trials. We estimate that there would be between 120 and 140 patients to be recruited and that would be in the profound hearing loss sub population as we had also shown in the HEALOS trial.
Michael Higgins: Well and just a follow-up. In terms if you are talking with the FDA next if you can give us some update on the timing for that? And also when we may hear some feedback? And then finally is this meant to be U.S., European, global trial, or do you expect to enroll any estimates on the number of sites as well? Thanks.
Thomas Meyer: Yes, so the plan is here we are pretty much ready. Very shortly we expect here to request a Type C meeting. So during the third quarter we should have the feedback. And with regards to the trial conduct, now as we are planning to partner this program here obviously there will be also some other considerations coming into play. I think it's a safe best to assume that the countries that participated in the HEALOS trial they would – most of them would be part again. We also have some Asian countries, we have North America. So it's fairly likely that it’s going to be a global trial. But as a I said there maybe also some other considerations based on the partnering.
Michael Higgins: And the timing there will be a start in late 2018?
Thomas Meyer: Well, the time to set up here a trial that would typically be approximately six months. So obviously we now want to see first the FDA feedback as well. I think we have here the chance to receive a very positive and very encouraging, supportive feedback from the EMA. Now we hope obviously that also the FDA will support our plans. I think what was very important with EMA it is an unmet medical need, especially as we are talking about profound hearing loss which can be very debilitating functional impact day to day functioning here of patients. So that clearly helped.
Michael Higgins: Alright, I appreciate it, thanks guys.
Thomas Meyer: You're welcome. Thank you.
Operator: Gentlemen, we have further questions. I would like to hand back over to you for any closing remarks.
Thomas Meyer: Okay, thank you very much operator. And thanks to everyone for joining the call today and your interest in Auris Medical. Have a great day. And as always take care of your ears. Thank you.